Operator: Good morning. My name is Carol. And I will be your conference operator today. At this time, I would like to welcome everyone to the TMX Group First Quarter 2016 Results Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Mr. Paul Malcolmson.
Paul Malcolmson: Thank you, Carol, and good morning. Thank you everyone for joining us this morning for the first quarter 2016 conference call for TMX Group. As you know, we announced our first quarter results last night. A copy of the press release is available on our website TMX.com under Investor Relations. Today, we have with us Lou Eccleston, our Chief Executive Officer; and Michael Ptasznik, our Chief Financial Officer. Following opening remarks from Lou and Michael, we will have a question-and-answer session. Before we begin, I just want to remind you that certain statements made on the call today may be considered forward-looking. And I refer you to the risk factors outlined in today’s press release and reports filed by TMX Group with regulatory authorities. Now, I’d like to turn the call over to Lou.
Lou Eccleston: Thanks, Paul. Good morning, everyone. Before Michael takes us through the financial results for the first quarter, I’m going to update you on some key TMX initiatives that are both underway and on the way. On previous calls and in conversations with many of you listening in this morning, I’ve explained in the detail the work we did last year to recap TMX as a technology-driven solutions provider that puts clients first. With our strategy set, 2016 has been all about execution, innovation, transformation and operational excellence. So let’s just start with some of the initiatives that we’ve undertaken so far this year that will drive future success. It starts with people. We are especially pleased to now have Shaun McIver on board in the role of Chief Client Officer for Equity Capital Markets. Shaun joined TMX last month and brings with him more than 20 years of experience in sales, client service and product development. This is a newly created CCO position and it’s on the frontlines of client interaction in a very core component of our business, capital formation and equities trading. The addition of this position and hiring of someone with Shaun’s resume underscores the depth of TMX’s commitment to strengthening our client connections. Our equities business is core to TMX and is also core to Canada’s economic prosperity. Shaun’s immediate focus will be on developing and executing in sales, relationship management and distribution strategies for equities business. In addition, we recently announced changes to the structure of our equities team, these are geared to strengthening our ability to provide the level of service required. Despite market volatility and shifting investors demographics, technological innovation, disruption, disintegration and a whole host of other big terms, one truth for me, the capital is out there, it’s just in different places. So with that in mind, TMX is working to expand our capital community into these new areas and establish important relationships. We are striving to create efficient intersections of innovation and capital. It’s absolutely essential to what we do. And so it’s necessary that we broaden our reach. For example, we’re sponsoring the Blockchain World Expo, the world’s largest such event this September here in Toronto. Anthony Di Iorio, TMX’s Chief Digital Officer is one of the world’s foremost Blockchain experts, and he is leading our efforts to seek out ways in which this kind of breakthrough technology as well as other digital innovations can be applied to our business to create competitive advantage for us and for our clients. TMX is also a founding sponsor of Accelerate Finance. This is a new national fintech initiative designed to bring together startups and establish institutions to find new and disruptive solutions for the finance industry. The escalating fusion of finance and innovation is creating a whole host of exciting new technological advances that can potentially revolutionize the way business is done in this industry. We owe it to our clients and wide stakeholder groups across all TMX businesses to pursue innovation across our product and service offerings and our different platforms. At the end of April, we launched two new apps provide access to TSX and TSX investment opportunities and to enable customized tracking of listed securities. TSX investinit captures publically available corporate financing information to bring investors closer to potential opportunities. In the same fashion, the TSX discovery app is a research tool designed to increase the profile of our vast TSX and TSXV issuer base by enabling company tracking with intuitive navigation features. These and apps that will follow create greater transparency and distribution to a much broader investment community and this is important, because they create new investment tools for retail investors as well. Last month, we kicked off this year’s six-city cross-country TSX Ignite campaign, kicked that off here in Toronto. We had over 250 entrepreneurs, investors, advisors and business leaders. Actually today’s tour stop is in Halifax. We remain committed to supporting Canada’s thriving startup community from coast-to-coast. SMEs are the lifeblood of the capital formation ecosystem in Canada. And TSX Ignite brings together top industry professionals and executives, to mentor the next generation of this country’s leading public-companies. As I have told audiences all over Canada, I believe that the innovation sectors poised to become a world-renowned franchise that will truly equal this country’s status as a resource leader and create a powerful sustainable innovation economy that includes resource companies, technology startups as well as brick-and-mortar growth companies. Moving now to our information analytics business, in February we launched Market Insights. This is an integrated set of capabilities to support our clients’ investment decisions and trading strategies. The first solution for Market Insights is TMX Analytics. This is a configurable cloud-based application that offers users unique data-mining capabilities across the vast quantity of data. This is a great example of the types of innovations we can bring to the market that enables our clients to compete better and improve the quality, competitiveness and attractiveness of our overall marketplace. As I said before, people behind these initiatives are key. And we made some other key additions to help us grow Market Insights. Tom Wadden was hired as Head of Data Science and Analytics in March. Tom is a proven leader with deep knowledge and experience in the Data Science realm. He is here to help accelerate our effects to deliver multi-asset-class global data and advanced analytics offerings for our clients. So if this sounds little different for TMX Group then that’s a good thing. The point is that this is an evolving organization. We are pushing out not only at the edges, but from the core. We are looking at new ways to leverage our strength and areas of proven expertise. Next, I just want to very quickly mention a couple of important milestones we reached across our business areas in the first quarter. Last month, Toronto Stock Exchange welcomed the fourth new ETF provider this year. We welcome Hamilton Capital Partners, Sphere Investment, TD Asset Management, Mackenzie Investments onboard in the first quarter. In total, 34 new ETFs have listed on TSX thus far this year, 2016. And that brings the total number listed on the exchange to 409. That’s got a combined capital - combined market cap of $106 billion. We have a long and proud history of supporting the success of the ETF [indiscernible]. This segment continues to grow rapidly, as it become increasingly important to the vitality of the overall TSX ecosystem. In April, TSX NAVex, our new centralized mutual fund solution, entered the client testing phase in preparation for full launch, which is scheduled in June of 2016. This developed with industry stakeholders. We announced that last fall that TSX NAVex platform will facilitate purchases and redemptions of mutual funds to proven equities infrastructures of the Toronto Stock Exchange. So just one last point, I’d like to make before turn it over. I am frequently asked, what about this or that competitor, how we are going to compete, what you’re going to do to address new threats. And the answer is consistent and simple. We are not scrambling to defend any one business area from any one competitor. The day I joined TMX, we started building an innovative adaptive organization. Our competitive response is to put clients first and deliver solutions they can get only from TMX. We’ve planned intrinsic role domestically as well as having a global franchise that together helps fuel Canada’s markets. Our impetus for change in TMX is not the whole position, it is to better equip TMX provide its central tools and platforms to power growth for our clients in Canada across North America and around the world. The execution of our new strategies well underway, as we purchase second half of the year and along the way our crucial continues work will center on three major areas: deliver enhancements to our existing client solutions, introduce new and innovative offerings, and three, make operational improvements laser shot focus on cost deficiency. I look forward to continued update you on these plans throughout the year. And with that, thank you, and I’m going to turn it over to Mike.
Michael Ptasznik: Thanks, Lou, and good morning, everyone. I’ll begin by talking that our first quarter results on a year-over-year basis. For this quarter, there was a 4% decrease in revenue, a 4% decrease in operating expenses before strategic re-alignment costs, and a 4% increase in income from operations. Reported EPS was $0.85 per share compared with $0.78 per share last year, and adjusted EPS was up $0.01 at a dollar. The increase in reported EPS was largely attributable to lower operating costs, including lower strategic re-alignment expenses. The increase was partially offset by foreign exchange gains on translating net monetary assets denominated in non-Canadian currencies in Q1 2015. Turning to revenue, there were increases in Derivatives and Efficient Markets revenue, which were more than offset by declines in Capital Formation, Market Insights, largely driven by Razor Risk and other revenue. The overall decline is other revenue was primarily driven by foreign exchange losses on translating net monetary assets denominated in non-Canadian currencies in Q1 2016 compared with foreign exchange gains in Q1 2015. Partially offsetting the revenue declines was a favorable impact from a weaker Canadian dollar relative to other currencies, including the U.S. dollar. The net unfavorable impact of these two foreign exchange items was approximately $3 million. Market Insights revenue decreased by 3% year-over-year, reflecting a $4.2 million decline in revenue from Razor Risk in Q1 2016 compared with Q1 2015. The average number of professional market data subscriptions for TSX and TSX Venture products decreased by 7% from Q1 2015 to 2016. And in addition, there was a $1.1 million increase in the event of deferred revenue related to subscriptions in Q1 2016 compared to Q1 2015. Offsetting the decreases in Market Insights revenue, there was an increasing revenue from TMX Atrium Wireless, including a launch of our New Jersey to Toronto microwave service in July 2015, and higher revenue from other TMX Atrium services. As well as higher revenue recoveries related to underreported usage of real-time quotes in prior periods. It was also a positive impact on Market Insights revenue from weaker Canadian dollar relative to the U.S. Capital formation revenue declined by 11% compared with last year. The one-half of the decline in revenue related to the loss of revenue from Equicom, which was sold in July of 2015. In addition, there was a decline in both additional and sustaining fees. Additional listing fees in Q1 2016 decreased over Q1 2015 reflecting a significant decline in the amount of total financings rate. This was consisting with other global marketplaces and reflection of the impact of higher volatility seen in the quarter. The decrease of additional listing fee revenue was someone offset by the favorable impact from increase in the maximum additional listing fee on TSX effective February 1, 2016. The decline in sustaining listing fees on both TSX and TSX Venture reflected decrease in the number and market cap of issuers at December 31, 2015 compared with December 31, 2014. Derivatives revenue increased by 17% year-over-year. Higher revenue from MX reflects the impact of 27% increase in volumes, someone offset by lower average fee. Revenue from BOX also increased reflecting a 19% increase in BOX trading volumes and resultant increase in market data revenue. There is also a positive impact from a weaker Canadian dollar relative to U.S. dollar. Revenue from Efficient Markets increased by 4%; there was an increase in equity and fixed-income trading revenue of 4%, while energy trading and clearing revenue increased by 7% over last year. The decline in Other revenue of $7.5 million had the most significant impact on our overall revenue. This decline was due to recognizing $2.5 million of net foreign exchange losses on the U.S. dollar and other non-Canadian denominated net monetary assets in Q1 2016, compared with the [$4.1 million] [ph] million of foreign exchange gains in Q1 2015. A portion of these FX gains and losses are offset in net finance cost as we carry a portion of our debt in U.S. dollars. Turning to costs, operating expenses before strategic realignment expenses in Q1 2016 were $106.7 million, down 4% from last year. During Q1 2016, there is a reduction in cost of $2.9 million related to Razor Risk, lower headcount, long-term employee incentive plan costs and the sale of Equicom in July of 2015. The decreases in cost were partially offset by higher Information and trading system costs related to TMX Atrium Wireless, lower capitalization of labor costs and a non-recurring reduction in costs relating to BOX in Q1 2015. There is also an unfavorable impact of $2 million from the weaker Canadian dollar relative to other currencies, including the U.S. There is a decrease of $5.4 million of strategic realignment cost. Severance and related cost declined by $4 million and professional, consulting and other charges dropped by $1.4 million. We will continue to work to become more efficient through realigning, simplifying and integrating relevant systems, processes, operations and organizational structures. We expect to incur additional strategic re-alignment expenses through 2016 as we execute on our strategic plan. And while we continue to work to reduce our core operating costs, there may be incremental operating expenses compared with Q1 2016 as we continue to implement new initiatives to drive long-term growth. Looking at our financial results on a sequential basis, revenue in Q1 2016 was essentially unchanged from Q4 2015, reflecting an increase in efficient market and derivatives revenue, offset by declines in Market Insights largely again driven by Razor Risk and Other revenue. The decline in Other revenue was primarily due to recognizing significant net foreign exchange losses on the U.S. dollar and other non-Canadian denominated net monetary assets. Operating expenses before strategic re-alignment expenses decreased by 8%, compared with Q4 2015, reflecting a decrease of $6.7 million in costs related to razor risk and information and trading system cost. Income from operations before strategic re-alignment expenses increased from Q4 2015 to Q1 2016 reflecting the lower operating expenses before strategic re-alignment cost. In the quarter, we reduced our debt by about $31 million by utilizing cash flow from operations. Debt repayment will continue to be the primary use of cash, of excess cash, in 2016. And on May 2, we entered into an amended and restated credit agreement which has maturity date of May 2, 2019. The new facility for $500 million or U.S. dollar equivalent replaces a $400 million credit agreement, which had a maturity date of August 1, 2016. In addition to extending the maturity date of the facility and increasing the size, certain terms of credit agreement were also amended including less restrictive financial covenants. We also increased the authorized limit of our commercial paper program from $400 million to $500 million. At March 31, there was $42 million of CP outstanding under the program. With our Series C debentures in the amount of $350 million coming due on October 3, 2016, our current plan is to repay these debentures with proceeds from the CP program. And yesterday our board declared a quarterly dividend of $0.40 per common share to be paid on June 10, 2016 to shareholders of record on May 27, 2016. At this point, I’ll turn the call back to Paul for the Q&A session.
Paul Malcolmson: Thanks, Michael. Carol, could you please outline the process for the question-and-answer session.
Operator: [Operator Instructions] We’ll pause for just a moment to compile the Q&A roster. Your first question comes from Paul Holden from CIBC. Your line is open.
Paul Holden: Good morning.
Lou Eccleston: Good morning, Paul.
Paul Holden: So, Lou, when you first joined TMX you had mentioned that there was a large number of ongoing project initiative somewhere in the ballpark of 100 initiatives or so and you wanted to really narrow the focus down to sort of a number you could put on a single hand or may be two, but it will take some time for some of those legacy projects to run off. So just wondering where you stand currently in terms of the number of ongoing projects?
Lou Eccleston: Okay. I mean, there is a few things we did to manage this. The first one was that we put in as you know, what we call - our pillars are investment filters right, really focused on where we think we can grow. So the projects we have now are focused on those specific areas of growth versus a really long laundry list of projects. The second thing we’ve done that we mentioned a little bit on last call was we really sharpened our financial measures internally and take a hard look at now what’s new growth and what’s moving into run rate. So when we talk about cost efficiencies, managing cost, reducing cost, we are very clearly now separating the difference between what are we doing to invest in growth in our pillars versus what’s in our run rate and what are project costs. So the number of work, the projects being done now is drastically reduced from what it was. I mean, it’s reduced by hundreds. But the real difference is not so much that as that we’re really focused on the return on those. And I don’t think today that we can - we would have the same issue we had at all a year ago, where we were trying to figure out what are all these projects, what’s the return on these projects. And that’s been a combination of the investment filters and the first change we made which was reorganizing Global Enterprise Services, so between that, between really surgical project management and pretty specific investment filters, I think the areas we’re investing in now are pretty well defined.
Paul Holden: Okay. And then, in terms of operating cost is what we saw in Q1 this year a relatively good indication of run rate for the remainder of 2016?
Michael Ptasznik: So as I said in my remarks, we continue to try and manage our cost to maintain them as efficient as possible. That being said, there will be times where we’re investing in some of the new opportunities and some of those initiatives that Lou just referred to, that will have the impact of increasing some of those costs. So I can’t say we’re going to necessarily be able to keep it at this run rate, but we will look to continue to manage the cost down, although there will be times where we’re going to have to incur some incremental expenses to drive future growth.
Lou Eccleston: Yes. I mean, I think Michael says it well, Paul. But I think certainly this is the direction you’re seeing from us. We’re really focused, as I mentioned in my remarks as well as one of the three priorities for us. So I think the answer is that we are going to - this is our direction. You can count on Michael’s comments in terms of what we’re trying to do. But specifically if we are doing anything above this I think we’ll be able to be pretty clear about where we’re investing, what we’re focused on.
Michael Ptasznik: It is important to note, when we put the numbers in the MD&A that there was a significant reduction related to the Razor business versus Q4 of last year. And that was really we had some expenses and some revenue that were significant in that quarter. And so, the numbers are in the MD&A that help to describe that. So that is part of the reconciliation or the difference between the two quarters.
Paul Holden: Got it, and so, you would expect both in terms of maybe revenue and expenses for Razor Risk to potentially be higher in future quarters depending on demand for that product?
Michael Ptasznik: It’s really a lumpy business and that’s the issue with it, given the type of products that they have so…
Lou Eccleston: Yes. I mean, it’s a business with long sales cycle. We spent a lot of time over the last quarter taking a hard look at what is the potential. So one of the things we’re evaluating right now is what exactly is that pipeline, what are the sale-cycles around that pipeline. So the Razor business is one we’re very focused on to understand what is the long-term potential and we’re pretty much through that process now. But we really are working to understand globally, what’s the sales pipeline and what are the cycles.
Paul Holden: Okay. And then another question for you would be on the ongoing review of non-core assets. I guess, first of all assuming it’s ongoing, I’m wondering if there is any kind of color or updates you can provide us with out there?
Michael Ptasznik: So we continue to look at the number of assets that we have. I think, it goes back to what Lou was saying earlier that we now have to focus on the key pillars within the strategy and there are a number that we are looking at ways that I would say de-prioritizing or put them into either run-load or partnering with somebody else and potentially in some cases exiting like we did with Equicom last year. So there are a few of the smaller parts of the business that don’t get the attention that they would have had in the past and the focus is really on those areas like the Market Insights solutions, the Capital Formation, Derivatives is what we are really focused on driving the growth and obviously continuing to maintain and grow the efficient markets business for things like NAVex. So there are some of the smaller assets that are in the works in which things are being done, like I said either partner or deal with another ways.
Paul Holden: Okay. And then, final question for you - for Lou. I guess, would be with respect to rough timing, and when we consider to see some of the revenue benefits of these initiatives?
Lou Eccleston: Well, I think we are consistent with what we said at the very beginning of this that we expected - as you launch new products, we talked about launching things like AgriClear, we’ve launched Market Insights, we’ve got lots of things that are coming like NAVex. There will be more product offerings. We’re building the team around Data Science. So I think we are still consistent, Paul, around back-half of 2016 into 2017, which is what we thought the original timing was. That’s probably still the likely time.
Paul Holden: Okay. Thank you.
Michael Ptasznik: Thanks, Paul.
Operator: You next question comes from the line of Graham Ryding from TD Securities. Your line is open.
Graham Ryding: Just wanted to quickly follow-up on the expense front, so it sounds like through the remainder of the year. We are going to continue to see some strategic re-alignment expenses that you are going to flag for us. Is there any color around what sort of savings you expect to surface from this sort of going forward maybe into 2017?
Michael Ptasznik: I think it’s premature to give those numbers, Paul, as soon as we have some tighter plans around that. And we will be able to put those in future quarter results. So we are working our way through those plans. Once we have those numbers, we’ll try and give you some more color around that.
Lou Eccleston: It’s Graham.
Michael Ptasznik: Sorry. Sorry, Graham.
Graham Ryding: That’s okay. And it’s a potential that these expenses could also be redeployed into other areas?
Michael Ptasznik: Yes. Definitely, there is - as we continue to reinvesting some of the new growth initiatives that we have, that there is the potential that we will either redeploy the expenses or some of the resources towards those other initiatives.
Graham Ryding: On the - maybe I can jump to the regulation front. Just from your MD&A, the commentary sounds like, you are generally positive and what you’ve seen the proposals on the trading - on the equity trading side. Sounds like you are not so much in support of the - what you describe is more formulaic and strict regulatory regime on the market data front, just wondering if you could maybe provide a little bit there?
Lou Eccleston: Well, I think, what we are happy about or pleased with, is that there is now coming out - we’re getting consistent guidance on what’s going to happen across the market. That’s what we said all along. That I think gives you what I’ll call a level playing field. That it lets you make decisions, that strategies and that we applaud and really welcome decisions around consistent management across the different issues. On the other side on the market data, we are still really waiting for the methodology to be defined and it has not been specifically defined. We think, we are in very good shape depending on which way that goes, but we just on really know right now. So we’ve obviously got strong market share. We’ve got a strong client base. The subscriber numbers that Mike alluded to are clearly a symptom of what’s happening in the business with our clients. So, I mean, everybody understands and reads every day what’s happening with our clients. So considering all that, the business is doing very well as it continues to grow and we’re launching the insights on top of that. So last piece of that, we’ll wait for the methodology, but we are very happy about the consistent policies across the market. We will wait to see where methodology comes out of what we think, we are reasonably well-positioned. And then finally, our growth around market data is also building on value added analytics on top of that data. At the same time, that we really integrate across all of our company or data capabilities, if you will, and that’s a big plus for clients, because the closer you can get to single integration point, it’s a great value proposition for clients. Their cost goes down. It’s easier to use our data. It’s easy to use other people’s data through our fees. And our Analytics, remember, also work on anybody’s data, not just TMX data. Those are open applications that they can use against any other datasets including proprietary datasets. So those are probably the three big components and then on the methodology piece we’ll wait to see what comes out.
Graham Ryding: Okay, great. Thanks. Maybe if I could just throw one more in. Looks like you’re launching a new derivatives product around Canadian dollar interest rate swap, futures. Just wanted to maybe get your sort of thought on where you see the demand for that product. Just in the context, I think historically derivatives have been a strong part of your business, but it’s been difficult to launch new products in Canada. I’m just wondering if you can give a little background on why you see potential success here.
Lou Eccleston: Well, I mean, I think we look at it as following along what’s a global trend and over-the-counter products moving to exchange traded. There is a ton of benefits that accrued from that, that’s both a regulatory trend and an investment trend. And we think we get right out on the forefront of that. It’s been talked about for a longtime. It’s really starting to happen. We think it is going to happen. And we want to be ready as more and more of the counter products move to exchange traded and clearing.
Graham Ryding: Perfect. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Geoff Kwan from RBC Capital Markets. Your line is open.
Geoffrey Kwan: Hi, good morning. I guess, my first question is with respect to the strategic alignment that you’ve been undergoing the expenses. I think kind of the cumulative amount it’s been just under about $25 million. Do you have a rough idea in terms of how much more we can kind of expect that might roll through the income statement through the end of the year?
Michael Ptasznik: Again, that’s something that we’re going through the process right now, as we’re continuing to do that analysis and be able to get a better feel for it in the future quarters, but can’t give you an estimate right now.
Geoffrey Kwan: Okay. And then, just the other question I had is, from the balance sheet perspective, just kind of wanted to get a sense from you kind of what you think in terms of being able to de-lever the balance sheet from where we are today in terms of, say, thinking about it from a net debt to EBITDA perspective. I think whilst [ph] it’s been challenging resources, energy market and you’ve been investing for growth, but I think that leverage has come down by maybe a little more than a multiple point in the last few years. So I was just trying to get a sense as to where you want to go also, ultimately, maybe a year or two down the road.
Michael Ptasznik: So I think we’ve been on the record of talking about how we want to maintain a credit rating in line with the rating that were currently out which is A, high, it doesn’t have to be exactly high, but within that range. And we would typically see our companies in the range of two to three times debt-to-EBITDA ratio. So we’re still slightly above that, that 3-times mark and as we bring it down below 3, then we’ll reassess use of our cash going forward, whether we look to increase dividends or buybacks et cetera. But I would say that that will be the plan as we get to below 3, then we’ll take a look at alternative uses for the cash.
Geoffrey Kwan: And then, sorry, if I can just ask one last follow-on question, is when you kind of take a look at the global exchange group that you’ve got exchanges that some of them are debt free, some of them are levered at less than 1 times, there are ones that are been more inquisitive and would have a leveraged numbers that are closer to yours. Just kind of want to think about or how you guys think about where you kind of fit in from a leverage perspective versus the global exchange group?
Michael Ptasznik: Well, again, the leverage that we have is the result of the Maple transaction that happened in 2012, and prior to that we had a much lower debt level position. And I think, again, you have to look at each of the circumstances of those exchanges and their positions as to what caused those debt positions. But we have analyzed it and that’s why I think that the 2 to 3 range for us and for the near future target as the target is what we’re heading towards. And we’ll reassess, like I said, the capital position once we’re there and we’ll look to - we do want to increase our dividends for shareholders over the long term. As our cash flows grow, we do want to return more of that directly to them, through that, but we also do want to invest in the business. So if opportunities come along we’re - we require leverage, we will look at both debt and equity in order to fund those types of acquisitions. The priority, I think if we go back to our MD&A, the priority is to continue to obviously maintain what we need to maintain to meet our regulatory obligations, number one. And number two, after that we are looking to grow the business going forward. And number three, to return cash to the shareholders. So that’s the philosophy that we have and I think being in that 2 to 3 times range fits in within that model.
Geoffrey Kwan: Okay, great. Thank you.
Operator: Your next question comes from the line of Phil Hardie from Scotiabank. Your line is open.
Phil Hardie: Hey, good morning.
Lou Eccleston: Hey, good morning, Phil.
Phil Hardie: Yes, most of my questions have been answered, but just wanted to ask to, the first really is with respect to the Market Insights, we’ve launched some new apps. Will you just get in there a bit deeper and maybe talk about, I’ll call it, some of the pricing model for the new apps as well as I’ll call it product placement, really in terms of higher delivering or I’ll call it highlighting availability of the new products, both the institutional clients as well as on the retail side?
Lou Eccleston: We try to stay very flexible on that. So I mean, we - there is a variety of ways that clients can subscribe both in price and delivery or distribution. So you could look at a client saying, well, I just want a subscription for one person. And then, you could look at an enterprise, if there is an enterprise license, if I want it for an entire department or desk or, again, institution it have to be buy-side, which we’re also getting a lot of interest in, as well as from trading desks on the sell-side. So the idea has been to be very open with that. So a client could say, look, I want an enterprise license put to this behind my firewall and only run it on my proprietary data. And then, if they want some help configuring the applications for certain datasets, we can do that from a standpoint of a support mechanism and there is pricing models for that. So we try to be really open with it. We’re also talking at the moment, nothing definite yet, these some of the large platform distributors, the vendors, about being able to put it up there, where clients can subscribe to it as a third-party. So our vision for this is as a wide-spread global open-app suite of offerings that can be used either as taken down from the app store, if you wanted to, or you could literally have it as an enterprise license internally behind your firewall.
Phil Hardie: Okay, excellent. And my other question is more of a book-keeping question on a - just with respect to the CSA and the market data, just first kind of remind us again this is really focused on, I guess, the level one and two access, and then a quick reminder in terms of what percentage of the Market Insights’ revenue that that contributes to.
Michael Ptasznik: It’s about - it sits in the range of 20% to 25% on the Market Insights revenue based on last quarter.
Phil Hardie: Okay. Perfect. Okay, that’s it for me. Thank you.
Lou Eccleston: Okay. You bet.
Operator: And presenters, we have no one else in queue at this time. I’ll turn the call back over for closing remarks.
Paul Malcolmson: Great, thanks, Carol. And thank you everyone for listening today. The contact information for media as well as for investor relations is in today’s press release and we’d be happy to take further questions throughout the day. Just a reminder that our Annual Meeting is at 2 o’clock this afternoon and it is webcast. Thank you for joining us and have a good day.
Operator: This concludes today’s conference. You may now disconnect.